Operator: Greetings and welcome to the Catasys Incorporated Second Quarter 2017 Earnings Call. At this time, all participants are in a listen-only mode, a question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to a representative of the company.
Adam Prior: Thank you. Good afternoon everyone and thank you for joining us. Before I turn the call over to management, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call other than historical facts are forward-looking statements. The words anticipate, believe, estimate, expect, intent, guidance, confidence, target, project, and other some expressions typically are used to identify these forward-looking statements. These forward-looking statements are not guarantees of future performances, but may involve and are subject to certain risks and uncertainties and other factors that may affect Catasys' business, financial condition and other operating results, which include, but are not limited to the risk factors described in the risk factor section of the Form 10-K and Form 10-Q as filed with the SEC. Therefore, actual outcomes and results may differ materially from those expressed or implied by these forward-looking statements. Catasys expressly disclaims any intent or obligation to update the forward-looking statements. During this call, we may also present certain non-GAAP financial measures. A press release with the financial tables issued last night, which is located on our website at catasys.com will find a definition of these non-GAAP financial measures, a reconciliation of these non-GAAP financial measures with the closest GAAP financial measures, as well as, a discussion of why we think these non-GAAP financial measures are relevant to our results. These financial measures are included for the benefit of investors, and should be considered in addition to GAAP measures. With that, I would now like to turn the call over to Terren Peizer, Chairman and CEO of Catasys. Please go ahead Terren.
Terren Peizer: Thank you, Adam and welcome everyone to the call. With us on the call are President and Chief Operating Officer, Rick Anderson; and Chief Financial Officer Christopher Shirley. This afternoon we'll discuss Catasys results and share our thoughts regarding our future prospects and some of the trends that we're seeing within our markets. We were very pleased with our second quarter financial results principally the positive enrollment growth, the revenue growth of 36% and a considerable balance sheet improvement. As we discussed in the last call, the second quarter was all about signing contracts and increasing our eligible population and we are optimistic that we will begin seeing the considerable jump in enrollment in billings beginning in the third and fourth quarters. Overall, we feel very confident in our ability to deliver on our plan for the remainder of 2017. I'd like to begin by providing some information about our company to those who may not be familiar with Catasys, our market and our significant value proposition. In short Catasys aims to improve patient health and thereby solve the problem of high medical costs to health insurance companies of untreated behavioral health conditions by combining big data analytics and predictive modeling. To identify members whose health we can impact with innovative outreach, enrollment and engagement techniques, companion with state of the art treatment programs to treat these individuals. For several years, we have built a strong base of health plan customers. These include in alphabetical order Aetna, Centene, Coventry, HCSC the second largest boost plan in the country, Health Alliance Medical Plan or HAMP, Humana and of course the largest plan in the country UnitedHealthcare Optum. Common element across these health plans is a perpetual focus on improving member health and medical cost savings. These customers have signed with Catasys due to our unique approach and ability of targeting those patients who are considered treatment avoidant. We believe this is what separates us from other providers in this space and delivers on average a 50% reduction of cost per member enrolled. Savings that goes straight to our customer plans bottom line. Let's talk about the elephant in the room. Alcoholism and substance use disorder, depression, and anxiety are a horrible problem in the country and of course worldwide. News flash, it's getting worse. We previously thought there were 27 million people in United States who suffer from substance use disorder. Yet only 10% seek treatment. Just this past week a, JAMA Psychiatry publication stated that 30 million or 12.6% of the adult population suffered from alcoholism use disorder alone. Alarmingly. 25% of adults under 30 suffer from this disease. Now factoring opioids and other substances you get the picture. Again, yet only 10% seek help. Yes, we read about the opioid epidemic daily yet alcoholism results in three times the amount of deaths a year. I submit to you this figure is climbing. Moving on there are 43 million adults in the United States who have anxiety disorder, however only one out of three seek treatment. And finally, there are 15.6 million people in the United States who suffer from depression but only two out of 10 seek treatment. I thriller submit to you that these numbers are antiquated and are climbing further. Incidentally 50% of all opioid prescriptions were to those who also suffer from anxiety and depression. It's clear, we must address all three diseases simultaneously which we believe our company uniquely does. It is easy to see that the vast majority do not seek treatment which provides us with an enormous population to treat. This brings me to our Untrack solutions. We have found a way for this treatment avoidant population to get help with our OnTrak program, a 52-week comprehensive solution that serves to help treatment avoidant patients afflicted with behavioral health conditions. There are a number of reasons why people do not seek treatment including stigma not knowing they have a problem, not believing treatment will work. And their behavior health condition itself can be an impediment to seeking treatment. We focus and a treatment avoidant population, one that avoids behavioral health treatment. Over the last several years, we have developed our proprietary approaches to engage this care avoiding population. We do this too focusing on and providing the cure that this population is interested in engaging at. Often there are symptoms which allows us to provide other care and they may need that they may need concurrently. Our ability to successfully identify engage, and treat these care-avoiding members to improve their health and reduce costs for the health insurance plan is what has allowed us to roll out our OnTrak program into 18 states as of June 30. The individuals are treated effectively. The health care plans are able to lower their overall cost because of the treatment and Catasys can leverage if the years of improvement to deliver a comprehensive program. Members who are struggling with behavioral health disorders and the co-existing chief medical conditions of cardiovascular, pulmonary and diabetes disease often find it very difficult to take the necessary steps to improve their health and effectively manage their conditions. We use multiple methods for outreach such as phone calls, and letters to build trust and convince them to enroll in the OnTrak program. Once enrolled they work closely with our nurse care coaches. The relationship between the patient and care coach is centered around trust, as the care coach serves as an integral part of the member's treatment team over the 52-week period coaching them. Through treatment, through behavioral changes and assisting them with improving their health. We have found that the relationship developed between our members and the care coaches to be so strong that not only do they help members successfully complete treatment and improve their lives but some of our care coaches have even been invited to patients' family weddings and bar mitzvahs. Before I turn it over to Rick and Christopher, let me describe about Catasys and our team to find the market opportunity. Eligible lives is the only metric that has value to our model today. In our most recent investor presentation we do layout a definition that breaks down the size of the current market and are estimated eligible lives in general terms. We expect to watch with UnitedHealthcare Optum at the end of the third quarter beginning of the fourth quarter and at that stage we anticipate having enough critical mass to begin updating this number on a quarterly basis. To keep it simple, eligible is what we have when we contract. They represent the individuals we have identified through our analytical models as eligible for OnTrak program. When we launch a plan, we begin OnTrak to the eligible, we enroll approximately 20% of those that we outreach too. Adjusted for some ramp that we will learn more precisely in all three disease states versus substance use disorder alone as we continue launching programs with all three diseases in the second half of this year. The ramp to get the full enrollment for substance use disorder only program in a commercial population has been approximately 12 months. We are seeing this contract a bit. We think it may contract more significantly when including depression and anxiety. Furthermore, we believe that by the time Labor Day arrives, we expected be conducting outreach to 24,000 members. This will be a significant increase from the 6,000 members we conducted outreach to in the fourth quarter of 2016. The launchers with three separate health plans in the recent months have led to increases in revenue and buildings for that quarter but as I've noted at nauseum, we believe this is beginning of significant quarterly sequential growth for Catasys. We plan to continue our plans of expansion into new states, new programs and most importantly hopefully by year end, have contracts in place with seven of the eight largest health insurers in the United States. We believe that we are in a prime position to scale the company both in terms of enrolled members as well as profitability and will continue to make efforts to sustain growth for the second half of 2017 and into 2018. With that, let me turn the call over to Christopher to review our financials and Rick to discuss our operations and then I'll return for few closing remarks. Christopher?
Christopher Shirley: Thanks, Terren. I'll begin by very briefly discussing the financials for the quarter. But I encourage all of you to review our filings in detail or reach out to any of us for additional questions. On the top-line, we were pleased to see growth in all of our main metrics. Higher enrollment, revenues, billings and deferred revenues. Before I go any further, I would like to take some time to explain some key differentiations in the terms that we use in order for all those listening on the call to fully understand our financials. The way that healthcare insurers pay us can differ quite a lot. Some of them pay per month for each member enrolled, while others pay in advance for the program. Payments in advance as well as any fees subject to our customers received in savings result in deferred revenue. It is important to note that historically nearly every deferred revenue dollar has become GAAP revenue with time. We also believe that billings, what we bill our customers on a monthly basis is a much more important metric than GAAP revenue to judge the growth of our business. We expect to see sequential increases in billings in the third and fourth quarter of this year. Revenue for the second quarter of 2017 was $1.7 million a 36% increase compared to the second quarter of the prior year period primarily due to an increase to 11% increase and enrolled members compared to the prior year period. Billings for the second quarter were $2.1 million a 25% increase over the same period in the prior year. As we have discussed in the past, we also pay particular attention to referred revenues which had favorable gains for the quarter. Deferred revenue which is recognized as revenue over the period in which each member in our program is enrolled or as savings are realized, increase through the first six months of the year up 55% from December 31. While, we can't control the timing of health plan launches nor have enough critical mass to provide quarterly guidance, we have made a concerted effort to provide as much transparency as possible for investors to properly evaluate our growth. Overall, we're seeing very favorable progression in this regard. I wanted to briefly note the company's net income for the period. For the second quarter of 2017 net income was $13.9 million or $0.97 per diluted share. Compared to a net loss of $4.7 million or $0.51 per diluted share in the prior year period. This increase was caused by a change in fair value of both warrant and derivative liability. Following our capital raise and NASDAQ listing in April, we were able to significantly clean up our capital structure and emerge with a much stronger balance sheet. As a result, we anticipate quarter to quarter fluctuations from these changes in fair value to be considerably less material going forward. Before I turn it over the Rick, our balance sheet looks dramatically different than in December 2016. At June 30, total cash and cash equivalents on hand were $9.2 million and shareholders' equity was 6.4 million. We feel comfortable with our capital position and our ability to carry out our strategic objectives. With that, I'll turn it over to Rick.
Rick Anderson: Thanks Christopher. We have substantially increased our eligible members since the first quarter and anticipate that billings growth will continue to ramp up in the second half of 2017. A substantial part of that eligible member growth was related to the resolution of our data issues with Aetna, which resulted in large growth in the Aetna eligible members in June. To give this some context, we had billings of almost $2.1 million in the fourth quarter of 2016 when we had a bit more than 6,000 eligible lives and with the recent increases in eligible lives we anticipate entering the third quarter of this year with approximately four times more eligible members from which to generate enrollments in billings. In addition, we anticipate by the end of the year or as late as the first quarter of 2018 to be contracted with seven out of the eight largest health insurance companies in the country and to launch additional customers later this year. Once we launch a new program, it typically takes approximately 12 months to get to full enrollment. And we continue to work diligently to shorten that ramp. We are seeing signs in our more recent launches that we are making progress against that goal. We also continuously strive to improve our 20% enrollment rate that we use in our model. While we're leaving this rate at 20% for the time being, I would like to mention that this rate has been much closer to 25% this year which had positively affected the number of enrolled members. We recently launched in Oklahoma with HCSC, the second largest Blue Cross Blue Shield plan in the country. We believe that this is the start of an important relationship with significant potential for Catasys. HCSC is the largest non-public health insurer and the fourth largest health insurer overall. With health plans also in Texas, Illinois, New Mexico and Montana. We are also working closely with long time customer Humana to restart enrollment after their merger process and subsequent reorganization. This process has been slower than we'd like, but we continue to be proactive in communicating with them and feel that the second half of 2017 is a reasonable target date for the resumption of enrollment. This would be a major announcement for Catasys, but we continue to take the long-term view. Our customers understand our value proposition and the opportunity it represents to them. With that, I will turn it back over to Terren.
Terren Peizer: Thanks for the overview Rick. We expect the second half of 2017 to be an incredibly important period for Catasys. In the last few months, we have signed several health plans and even in the past few weeks have launched with one of the largest health insurance companies in the country. The signing by health plans is an indicator of Catasys's value proposition resonating across the industry and allows our company access to eligible members. A launch allows us to begin enrolling those eligible members. And enrollment means revenues. More carriers, more states and programs within those states, more enrolment, more revenue simple. We are still committed to our original focus of using technology and analytics to identify, enroll and engage those individuals who are affected by anxiety, depression, and substance use disorders. We are constantly trying to evolve our OnTrak program to include new treatments in order to bring health to a higher percentage of treatment avoidant populations. To summarize, we were pleased with this progression in terms of outreach in the second quarter and have the company set up to accelerated enrolments and billings in the coming quarters. We have created the kind of scalable platform with top-line growth that can truly be translated into sizeable margins and ultimately profits for our shareholders. All of us have worked for years to create a unique identification and healthcare services delivery model that while currently focused on behavioral health disorders can be leveraged to offer new products and modalities to expand even further. Incidentally we have over 222 million in Federal NOLs that can be utilized against future net income and are in the strongest financial position in the company's history. I'd like to now mention that we do not plan on providing regular guidance due to the high variability in the timing of launches and expansions of our OnTrak program. For example, we've had three launchers among separate health plans in the past few months however, we do believe that the magnitude of the impact of the launches mentioned in our earnings report are consistent over time with our internal projections that we have previously provided. In fact, the magnitude of the numbers previously provided and indicated in our latest company presentation on our website may prove to be conservative. I wish we can control these large blue-chip health plans launches timing but we just don't. What's exciting to us to discuss expansion plans of our customers exceed our own expectations. Will they take place? Yes, we believe so. When and how soon? We just don't know. But the coming quarters should be exciting and 2018 should be a very good year. Operator would you please open the call to all questions.
Operator: First question is from Kay Nakhai [ph] of Chardon Capital Market. Please proceed with your question.
Unidentified Analyst: Thanks. Just wondering if you can give us a little bit of color on how you decide what percentage of the eligible patients to actually outreach to?
Rick Anderson: Kay, this is Rick. Actually, we outreach to a 100% of the eligible members that we have in any given period. We enroll about 20% to 25% of those that are eligible on an annualized basis.
Unidentified Analyst: Okay. Thanks for that. Second, while certainly you are projecting the rapid increase in future growth again because of the uncertainty of timing. Do you feel like your current cash it sufficient to get you there or in any event how much of a buffer would you like to have given the uncertainties?
Terren Peizer: When we raise our -- the capital raise of $16.5 million, we calculated at the time and we're still consistent with that. That we had about a $6.5 million excel capital, which is the first time in our history we've had excess capital and excess capital would be defined as the capital above and beyond the capital we need to get to a cash flow positive state. So, we do not foresee any future funding needs at this time.
Unidentified Analyst: Okay. And then just finally. What do you think share count should we be anticipating to use them for Q3?
Terren Peizer: I'd be guess, Christopher, you might have a - I'd say it's about $17 million.
Christopher Shirley: That's correct Terren.
Unidentified Analyst: Okay. That's all I have. Thanks.
Operator: Our next question is from Abba Horwitz of OSP Capital. Please proceed with your question.
Abba Horwitz: Hi, good afternoon. I wanted to understand quarter-to-quarter. Part of your quarter is paid upfront and part of it is over 12-month period am I correct?
Terren Peizer: Correct.
Abba Horwitz: And should it not be that the visibility is actually pretty good for next quarter on a minimum basis. That one would expect you to do a minimum of what you did this quarter and that would be carried over next quarter given that it is annualized over 12 months.
Terren Peizer: Rick, you want to?
Rick Anderson: Yes, I mean we would anticipate that with the growing number of eligible lives that we had and some of which came in May, some of which came in or the vast majority of which came in June that we would this quarter is a base followed by what we're able to enroll off that eligible -- those new eligible members in the quarter. So yes, we would anticipate an increase.
Terren Peizer: And like I said previously, we do believe the significant quarterly ramp of sequential growth begins this quarter, third quarter. Gains more momentum in the forest and beyond into 2018.
Abba Horwitz: Okay. And can you talk about the feedback that you're getting as these programs launch and ramp both from the members as well as from the actual companies that are sponsoring them?
Terren Peizer: We've gotten very favorable feedback from both groups of people.
Abba Horwitz: Okay. And just finally if you don't mind, how many members are actually signed up currently across the board?
Terren Peizer: That's not a number that we have discloses at this point. I think we will consider doing that in a future but that -- you can back into that number based on the eligibles and on enrollment rates more or less.
Abba Horwitz: Okay, fair enough. Thank you very much and good luck.
Operator: Our next question is from Kwon May [ph] of First New York. Please proceed with your question.
Unidentified Analyst: Hi, guys. Thank you for disclosing the eligible members and if I use just base of the 24,000 that you want to start after Labor Day over the next home and that is roughly 41 million in billings and that would take you almost three quarters of the way of your internal protection already for next year. And I am just trying to understand that is before United Health coming on. So, I'm just - give us some ideas of what the potential could be if everything come in at the right time as you expect?
Terren Peizer: Well, the reason as we keep saying is it's difficult for us to provide guidance at this point in time. That is pointed out by something you just said. First, we assume that United Health launches soon, United Healthcare launches very soon eminently. We are just began launching HCSC. I have already begun discussions and expansions with both. Both of them along with HAMP already and recently Aetna was anxiety all of them United HealthCare HCSC are watching in all three diseases. Substance use disorder, depression and anxiety because of that we as Rick mentioned in the call, we are seeing just in the commercial SUD population. We're seeing a contraction from that 12 months ramp break. And this is primarily due to us getting essentially just better at what we get. We're becoming more efficient and proficient. The depression and anxiety as I said earlier, should as we're seeing with HAMP in Illinois middle Illinois. Depression, anxiety should accelerate and contract the enrollment. Contract the enrollment rate, the time to get to that full enrollment right. We really just don't know what it is until we launch HCSC and UnitedHealth with any great predictability. We know it's going to be quicker than 12 months. Actually no, we strongly believe. So, yes. I mean I think you have to assume some ramp, I believe the numbers. If we took all of their customers' expansion plans at face value. The number will exceed the numbers we have already put out. We just don't know until they start expanding, but like I said earlier. The timing of the numbers that we previously provided on the last call and in our corporate presentation. The timing of those numbers could be off 1, 2 or 3 months. But the absolute magnitude is probably -- could be conservative relative to numbers we gave out for next year.
Unidentified Analyst: Appreciate that and also you touch on UNH and other launches and it could vary by couple of months. But it seems like it has been pushed back a little bit particularly in the last quarter. Can you discuss some of the challenges at least?
Terren Peizer: The challenges are - you are speaking about United HealthCare particularly?
Unidentified Analyst: Yes.
Terren Peizer: The challenges and Rick will elaborate, but the challenges are just we're dealing with one of the largest companies in America period. We interact with 10 divisions within it. We have -- they give us the date they want to launch. They have internal mechanisms between United HealthCare and Optum. We work with but our contract is with United HealthCare, we interact with Optum and Optum interacts with United HealthCare on our program. So, getting everything aligned everything signed off down to crossing the T.'s and dotting the I's is an arduous process that said. For what it's worth, we think we're at the end of the lake, at the end of the tunnel and I think it's ready for launch and hopefully over the next 30 to no more than 60 days we hope we can announce that we've launched with United HealthCare Optum. Rick, you want to add anything?
Rick Anderson: No, I mean it's the underlying complexity of the processes internal to our customers of which we don't have direct control over and sometimes cause things to move past their original internally forecasted timeframes and that would be true for any of our customers. The large ones especially.
Unidentified Analyst: And just lastly, can you disclose how many care coaches and how rich staff you have?
Rick Anderson: That's also something that we haven't disclosed previously, but it's around 60.
Terren Peizer: Obviously, we are busy screening, hiring and building up our staff as we prepare for all these launches.
Unidentified Analyst: And I'm sorry the 60 was most care coaches in rich staff?
Rick Anderson: Yes, a little bit more to that actually. We're adding significantly every month. We have people in training every month then come online so.
Unidentified Analyst: Got it. Thank you so much.
Rick Anderson: Thanks a lot.
Operator: Our next question is from Brad Oher [ph], Private Investor. Please proceed with your question.
Unidentified Analyst: Hi, this is a little bit of an added question for you Terren or Rick. Do any of your enrollees are they allowed to reenroll after 12 months of the treatment period?
Terren Peizer: Yes, they can reenroll. Although the instance of that is very very low.
Unidentified Analyst: Thank you very much. I'm just trying to get a picture of sort of the moving dynamics of your enrollment. I think you've said in the past that you have about a 20% drop-out rate. I presumably spread surely evenly over the 12-month enrollment period. So, you have to fight through with no enrollees every month, every quarter. You've had relatively flat average enrollment now after nine months. I'm a little perplexed by that given the number of plans and ensured lives you're covering. Really as early as last summer you don't seem to have successfully enrolled very many people from those plans. Now, I think you've downsized the number of eligible insurers relative to your total insurer during that time period. But I'm still, and I know you had trouble with Aetna linking up data and I know you had some trouble with Humana which is still not quite resolved. We're still guessing a little better when enrolment can restart there. But are you guys surprised that went that long a period of time sequentially without really increasing new enrollment?
Terren Peizer: Well, let me address that and Rick you can add to it. First off, last year if you look at it, we had three customers. Well at the end of the year four, two of which were small relatively small. Centene, Wisconsin with small Medicaid population and HAMP where we were was also before they expanded into depression, anxiety and substance use disorders also relatively small. The two main customers last year for the 9 months that you pointed out, rightly pointed I might add. The bulk of it was Humana and Aetna, if you recall from.
Unidentified Analyst: No more explanation is required. I understand, I understand perfectly now.
Terren Peizer: Let me just finish just to be very clear. So, if you go back to our prior calls and earnings Humana froze us mid-year last year because we were so successful enrolling, we enrolled quicker and greater number of members then they had budgeted for. They then were going to wait till the beginning of this year to build in a much bigger enrollment numbers into their budget. Then a funny thing happened on the way, the forum their merger with Aetna broke off, they went in restructuring. So, for the second half of last year, we weren't able to enroll Humana. Number one. And the second half of last year, we were only operating at about 5% of capacity for Aetna. So, we really, we had no bullets in our gun if you will. That's probably a bad analogy, but we had no bullets in our gun. But now subsequently we expanded with HAMP and we saw again a contraction and acceleration of enrollment rate with HAMP in Illinois. We now have Aetna on full bore and Aetna is continuing to expand and now it's recently expanded into anxiety. We launched Centene, Texas which is approximate 30% of their whole plan. Are obviously we just announced launching with HCSC. So that's why I say, you are correct to point out that enrollment rate has been quoted surprisingly small compared to all these announcements we're making. But all these announcements of contracts and launches our perspective from that point.
Unidentified Analyst: Yes, I understand.
Terren Peizer: That's why we expect accelerating significant sequential growth in this coming quarter and beyond.
Unidentified Analyst: Okay, great. Thank you very much.
Operator: Our next question is from Abba Horowitz of OSP Capital.
Abba Horwitz: Hi. I have two questions. One is what gives you the confidence that next quarter's revenue will start to show ramp? Is it that you already have the contracts signed or you're anticipating signing on more members and that's what gives you the confidence?
Terren Peizer: Rick?
Rick Anderson: It's the fact that we have the eligible members in place and we've already started enrolling off of that much bigger base that's the primary reason for anticipating the continued increase and billing.
Abba Horwitz: Okay.
Rick Anderson: We also intend on having contracts, but it's primarily the eligibles.
Abba Horwitz: Okay. And you feel very confident about the cash on the balance sheet. I'm wondering what can we anticipate for the next two quarters, Q3 and Q4 in terms of the burn rate. And if you could just add to that what would you think in your mind what is the breakeven for the revenue?
Rick Anderson: We haven't broken; I mean there is a lot of variables that go into that. And we haven't broken it out. If you are asking also when we think we can go cash flow positive, Chris you want to answer that?
Christopher Shirley: Sure. The current model that we have suggested, some-time at the end of Q1 next year will start generating positive cash flows.
Abba Horwitz: Okay. Until that point in time, what kind of burn do you think it will have?
Christopher Shirley: It's definitely going to decrease over time. It's hard to say, it's largely dependent on the timing of things launches. We have to hire resources ahead of time. And we expect the burn rate to decrease throughout the second half of this year.
Abba Horwitz: Okay. Okay, very good.
Terren Peizer: The burn rate what Chris is alluding to is that the gearing up for the launches, the hiring of the care coaches for those that don't know is really the negative working capital we have associated with our growth and significant growth, because we have to hire and train them for six weeks. And if they're being trained with us for six weeks our outreach and our care coaches, our outreach personnel and our care coaches if they're coming with us for six weeks they're not out in the field associated with enrollment and revenue. So that creates a negative working capital number for that six weeks training period. At some point despite our significant growth, we have excess cash flow enough to be able to cover our growth organically internally.
Abba Horwitz: Okay. And how many people, how many members does one coach cover?
Terren Peizer: Approximately 60.
Abba Horwitz: Well, okay. Thank you.
Terren Peizer: You're welcome.
Operator: Our next question is from Sam Schwartz [ph] of Caliber Management. Please proceed with your question.
Unidentified Analyst: Hi, I am just wondering what is the total fully diluted capitalization right now?
Terren Peizer: Christopher, you want to?
Christopher Shirley: Its 14,000,299 shares.
Unidentified Analyst: Includes all warrants?
Christopher Shirley: That's correct.
Unidentified Analyst: All warrant and all the warrants in the money now or they have been converted or what's the outstanding there?
Terren Peizer: Let me, I just need to correct something. The number is 15.9 million and fully diluted would be about 17 million today.
Unidentified Analyst: And does that include Mr. Peizer's investment company Acuitas?
Terren Peizer: Acuitas.
Unidentified Analyst: Is that correct?
Terren Peizer: It's Acuitas; by the way it's a personal holding company. I own a 100% of Acuitas and Acuitas owns the stock in Catasys.
Unidentified Analyst: So that's included in you - fully disclosed and so forth.
Terren Peizer: Correct.
Unidentified Analyst: And is there any other incentive paper that's out there?
Terren Peizer: No, we have a little bit under $2 million in total warrants most of them are with me and obviously that doesn't represent an overhang in terms of the technicals in the market because obviously I'm not a seller.
Unidentified Analyst: Okay. Alright. Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question and answer session. I would like to turn the call back to management for closing remarks.
Terren Peizer: Well, thanks to all of you for your time. We are excited obviously for the coming quarter and quarters and look forward to speaking with each of you in the weeks ahead. Have a great night. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.